Operator: Good day, and thank you for standing by. Welcome to the Gevo, Inc. Second Quarter 2025 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to turn the conference over to your speaker for today, Eric Frey, Vice President of Finance and Strategy. Eric, you may begin.
Eric Frey: Good afternoon, everyone, and thank you for joining us on today's call. to discuss Gevo's second quarter 2025 results. I'm Eric Frey, Vice President of Finance and Strategy at Gevo. With me today, we have Patrick Gruber, our Chief Executive Officer; Leke Agiri, our Chief Financial Officer; Chris Ryan, our President and Chief Operating Officer; and Paul Bloom, our Chief Business Officer. Earlier today, we issued a press release that outlines our second quarter 2025 results and some of the topics we plan to discuss. A copy of the press release is available on our website at www.gevo.com. Please be advised that our remarks today, including answers to your questions, contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks and uncertainties that could cause actual results to be materially different from those currently anticipated. Those statements include projections about the timing, development, engineering, financing and construction of our alcohol-to-jet projects, our future carbon credit sales, our Gevo North Dakota and RNG plants and other activities described in our filings with the Securities and Exchange Commission, which are incorporated by reference. We disclaim any obligation to update these forward-looking statements. In addition, we may provide certain non-GAAP financial information on this call. The relevant definitions and GAAP reconciliations may be found in our earnings release, which can be found on our website at www.gevo.com in the Investor Relations section. Following the prepared remarks, we'll open the call for questions. I'd like to remind everyone that this conference call is open to the media, and we're providing a simultaneous webcast to the public. A replay of this call and other past events will be available via the company's Investor Relations page at www.gevo.com. I'd now like to turn the call over to the CEO of Gevo, Patrick Gruber. Pat?
Patrick R. Gruber: Thanks, Eric. We had a really nice quarter. It's great to have turned the corner on adjusted EBITDA. Our financial results this quarter and for the first 6 months of the year are consistent with our expectations for the year. But you know what, we achieved them faster than we anticipated. It surprised us, making good progress. The key achievements in addition to being adjusted EBITDA positive and incrementally net profitable include successfully selling voluntary carbon credits generated at our North Dakota site with carbon capture sequestration, also the selling of tax credits, the excellent ethanol and RNG operations, all of this while never losing sight on our long-term objectives of successfully financing and deploying renewable resource-based jet fuel plants. Our existing operations have provided us with a step up in adjusted EBITDA, while at the same time, providing the ingredients to deploy those jet fuel plants. Putting things into context. One, it's clear to all that it takes time to finance and build some synthetic aviation fuel, the jet fuel, the SAF plants. Let me make a few observations on this point. Making jet fuel in the U.S. from abundant cost-effective raw materials that are growing domestically makes a lot of sense. There's a finite amount of jet fuel on a barrel of oil, jet fuel demand is increasing. In U.S. alone, jet fuel demand is expected to increase an additional 2.3 billion gallons per year over the next 10 years, according to projections from the U.S. EIA. That's the Energy Information Agency. However, the U.S. is not building new refineries. In fact, we are shutting them down and converting them for other products. So where will the future jet fuel come from? Imports? Well, that doesn't make a lot of sense to serve our domestic energy needs. We view the renewable jet from corn starch carbohydrates, in other words, the sugars can be achieved at a cost of production similar to petroleum- based jet fuel, once fully scaled up and operating and it can deliver the added market-driven attribute of low or even negative net carbon footprint. With our business system, it is possible to achieve both a low carbon footprint and a low cost. This opportunity is absolutely huge in our view, we continue to pursue it. Two, we are very focused on our alcohol-to-jet 30 million-gallon plant design, targeting its first deployment to our North Dakota site. Our North Dakota site is particularly attractive because of the great ethanol and protein operation there as well as the carbon capture assets. We're in the midst of translating our ATJ 60, that's a 60 million-gallon plant designed to the ATJ 30 design. With the knowledge we have gained by engineering the heck out of these plants, we believe that we can make great reductions in project deployment costs, both technical and financial. A 30 million-gallon ATJ plant, we need about 50 million gallons of ethanol as a feedstock. This is a practical size where the economies of scale work. Smaller plants in this would be expected to be severely disadvantaged in cost price. Our ATJ 60 project targeted for Lake Preston is plugging along, albeit slowly. We've been working with the DOE and our customers, and we are waiting to see what happens with the carbon dioxide pipeline. It will take its natural course. We are done with the engineering on it and have shifted resources to the ATJ 30 plant. The overall strategy for Gevo is to use our current base of assets to improve profitability, increase carbon credit sales and tax credit sales while deploying ATJ plants. We see improved operations and associated profitability as giving us solid footing to launch ATJ projects and achieve our long-run goal. ATJ continues to be the major path for growth and selling carbon abatement as a co-product is key. I'll turn it over to Leke Agiri, our Chief Financial Officer, who will take us through the latest financial results. Leke?
Oluwagbemileke Agiri: Thank you, Pat. We did indeed have an excellent second quarter. Now here are the numbers. We ended the quarter with $127 million in cash, cash equivalents and restricted cash. During the second quarter, combined operating revenue, interest and investment income was $44.7 million. Our income from operations was $5.8 million, and our non-GAAP adjusted EBITDA was $17.3 million. Gevo North Dakota generated income from operations of $17.1 million and non-GAAP adjusted EBITDA of $24.2 million. Gevo RNG generated income from operations of $1.5 million and non-GAAP adjusted EBITDA of $2.6 million. And finally, net income per share attributed to Gevo was $0.01 per share for the second quarter. Here is some more color. Our second quarter results include a onetime catch-up recognition of our clean fuel production credits over the last 2 quarters since amongst other things, we closed the sale of $22 million of our CFPC credits in the second quarter. Going forward, our results will reflect the CFPC credits that we generated in the period being reported. Our first quarter results did not include 1 month of Gevo, North Dakota operations since we bought the facility at the end of January. It did not include any carbon dioxide removal credit sales, and it did not recognize generation of and proceeds from the sale of the clean fuel production tax credit. So as a result, we think our combined first and second quarter results more closely represent where we are. For the 6 months ended June 30, 2025, our net income grew by $20 million and our non-GAAP adjusted EBITDA grew by $32 million compared to the same period last year. We see this as recurring step change growth, which we expect will continue to grow from there. We are thrilled with our second quarter performance, both operationally and financially. We believe our businesses are well positioned for sustained success and strategic for the execution of our growth plans. Now I will hand it over to Paul.
Paul D. Bloom: Thanks, Leke. During the second quarter, we started our carbon business and sold over $1 million worth of carbon dioxide removal credits or CDRs. In addition, we were recently featured in NASDAQ's 2024 sustainability report for our supply of high-integrity carbon removal credits from Gevo, North Dakota. We believe this new co-product business could add a significant stream of new stable revenue for us as we are able to immediately supply a growing global marketplace with high integrity credits. We anticipate growing CDR credit sales to $3 million to $5 million by the end of this year and estimate long-term sales of this new co-product could exceed $30 million per year from our current production volumes, which could be significantly expanded in the future. We think the optionality to sell carbon separately from the fuel provides us with a unique advantage. As our business expands, we like having the ability to balance returns by separating and shifting carbon attributes from volatile low carbon fuel markets to selling CDRs in potentially more stable, higher-value markets. For some additional background, bio-based carbon dioxide is a co-product of ethanol fermentation that can be efficiently captured for the use in industrial applications, carbonated beverages, petroleum processing or permanently stored in the appropriate geological formations to generate carbon dioxide removal credits. The high-integrity CDR credits we are currently selling are known as corps or CO2 removal credits, -- these credits are certified by Puro.earth and can be purchased by customers and retired immediately to offset the effect of emissions. The Gevo, North Dakota facility has the appropriate geological formation and operational Class VI well for carbon capture and sequestration with a total estimated sequestration capacity of up to 1 million metric tons of CO2 per year. Our facility was also the first Puro.earth certified CO2 storage facility in the United States. Our credits are certified by Puro.earth under its strict standards for 1,000-plus years of permanence and other key quality parameters required by customers. Our research tells us that in total, the marketplace for carbon dioxide removal credits has exceeded $10 billion in the past few years, reflecting nearly 40 million tons of CO2 removals. We look forward to increasing our participation in this market as it continues to expand. We also began our business of selling clean fuel production tax credits. Clean fuel production credits or CFPCs, are also known as the 45Z tax credit. We expect to generate cash from the production sale and transfer of these credits to third-party taxpayers. On June 30 of this year, we entered into our first tax credit transfer agreement for $22 million worth of credits to a third party. We are one of the first companies to monetize these credits, and we anticipate finalizing additional tax credit transfer agreements with third-party taxpayers this year to sell out our anticipated volume of credits for the balance of 2025. Based on our production of low-carbon ethanol and RNG, we expect our clean fuel production credits to benefit our net income and adjusted EBITDA by more than $10 million per quarter going forward. For clarity, these sales do not show up on the revenue line, but due to the applicable accounting standards, instead show up as a reduction to our cost of goods sold line on the income statement. I'll conclude with some brief remarks on our technology platforms, which are driving innovation for our expected growth. First, Verity is our wholly owned subsidiary that is developing a software platform for traceability, compliance reporting and the monetization of carbon intensity across the agriculture and renewable fuels business system. Verity is earning revenue now and is in growth mode. In July, LANXESS, a $2.4 billion agricultural solutions company spanning 34 states that connects thousands of farmers, announced the partnership with Verity to track and trace their 2025 soybean crop for premium market opportunities and a first-of-its-kind carbon intensity supply chain program for ethanol production. These supply chains are complex, involving extensive data and have significant compliance requirements. Verity aims to help farmers and partners like LANXESS easily obtain high-quality, verifiable results, and our innovative solutions are starting to pay dividends for Gevo and our customers. Next, we continue to make good progress on developing Gevo's proprietary ethanol to olefins technology with our development partners, LG Chem and Axens. Gevo's ETO technology targets the lowest capital and operating cost to convert ethanol into olefins that can be used for renewable fuels and chemicals, including SAF and biopropylene. As of today, Gevo has approximately 80 active global patent assets in our ETO intellectual property portfolio. Finally, our long-term growth is supported by a strong intellectual property portfolio, including our SAF platform, ETO technology, isobutanol portfolio and carbon tracking solutions. We hold over 400 patent assets globally, many granted recently as we've refined our ATJ30 and ATJ60 designs, and we continue to secure new patents as our innovations progress. Let's now go to Chris to talk about operations. Chris?
Christopher M. Ryan: Thanks, Paul. Let me review some key operating results for the second quarter. Our team at Gevo, North Dakota continues to keep the plant running well, and the production numbers through second quarter support that point. In the second quarter, we ground 5.7 million bushels of corn to produce 17 million gallons of low-carbon fuel-grade ethanol. And that's around 3 gallons per bushel yield, which is good. That also equates to about a 67 million gallon per year run rate on ethanol. We produced 52,000 tons of high-protein animal feed and over 5 million pounds of distillers corn oil, which is about 1 pound of oil per bushel of corn ground. In our carbon capture and storage business, we sequestered over 40,000 metric tons of CO2 in the second quarter. That CO2 being sequestered is a small fraction of the capacity of the reservoir that we sit on top of in North Dakota. We have a lot of extra capacity to sequester CO2, and we're actively talking to third parties to do that. All these numbers equate to approximately equal amounts by weight of ethanol, high-protein feed and CO2 with some corn oil on top. This is a good diversification for our business. At our RNG business in Northwest Iowa, where we have partnered with 3 dairy farms, we produced about 92,000 million BTUs of renewable natural gas during the second quarter. And we continue to optimize that process to push production higher. This year has been a great year for growing corn. This year's harvest in the United States is projected to be another record year, and that's great for us, but the farmers really need to see some new uses for corn. That brings me to our synthetic aviation fuel or SAF platform. We've been building our SAF platform because we see a substantial and expanding market ahead, one where we believe Gevo is strongly positioned to lead. According to the U.S. Energy Information Administration data, U.S. jet fuel demand is projected to rise by more than 2 billion gallons per year over the next decade. We have a great opportunity to help meet that demand with domestic production using agriculture and rural communities as the backbone to do that. At Gevo, we've developed a template for doing that using ethanol as a feedstock to produce SAF or jet fuel in a modular plant. It would only take a few dozen of our ATJ facilities to process roughly 3.5 billion gallons of ethanol into more than 2 billion gallons of competitively priced domestically produced jet fuel, channeling billions of dollars in investment into rural agricultural communities and creating a new use for corn, which the agricultural industry really needs. It's worth noting that traditional fossil-based jet fuel makes up only about 9% of the output from traditional U.S. refineries, whereas the ATJ process that we've designed can produce more than 90% jet fuel from its production stream. To capture this opportunity, we've created 3 standardized plant designs. We call them ATJ30, ATJ60 and ATJ150, all convert low-carbon ethanol into SAF. Gevo, North Dakota stands out as a promising ATJ30 location, thanks to our existing carbon capture and storage infrastructure and reservoir, access to low-cost, low-carbon ethanol and the large acreage we have at our site. We have leveraged our ATJ design from South Dakota and our engineers are busy editing it for the ATJ30 design to be deployed at our site in North Dakota. For ATJ60, this project in South Dakota, we remain in active discussions with the U.S. Department of Energy's Loan Programs Office to advance the $1.63 billion loan guarantee for our South Dakota project, and we're pacing our development spend to align with the financing time line. In the future, once our ATJ process is operational, we intend to expand the business by leveraging our SaaS platform and proprietary systems through multiple business models, including joint ventures, licensing and build own operate. With about 180 existing brownfield ethanol plants in the United States, plus additional greenfield sites domestically and worldwide, we see significant potential for scaling. With that, I'll hand it over to Pat.
Patrick R. Gruber: Thanks, Chris. Thanks, Paul and Leke. You guys did a good job of hitting the highlights. Let's go ahead and open it up for questions. Operator?
Operator: [Operator Instructions] Our first question comes from Dushyant Ailani with Jefferies.
Unidentified Analyst: This is Whitney Motalema on for Dushyant. Impressive results this quarter, especially on the early monetization of CDR and CFPC credits. So on the CFPC monetization, like while ethanol-related CFPCs have been monetized, biogas credits haven't yet. So what's holding back that monetization piece? And when do you expect to see such activity?
Patrick R. Gruber: We already did included in here. Leke, why don't you give a little more explanation. And CFPCs for ethanol is -- we haven't seen other ones from ethanol before. Go ahead, Leke.
Oluwagbemileke Agiri: Yes. So the 45Z, the clean fuel production tax credit for ethanol production was what we monetized in the sale, the $22 million sale to a private party that was announced. The transaction was consummated with also making use of the relevant, call it, insurance policy to make sure residual risks are actually being managed on behalf of Gevo and also on the buyer party. What we do expect, especially now that the big beautiful bill has passed and effectively hopefully rendered the discussions around retroactive change in tax law issues. We believe those -- that issue is actually officially sort of addressed with the passing of the bill. Expectation is ethanol facilities that actually qualify for 45Z or CFTC, the market should hit up and you're going to start seeing some of that sale. But we are one of the first parties to actually get a chance to actually execute the transaction. And as we articulated, we are also in the process of monetizing the rest of our clean fuel production tax credit for this year. What we should also highlight is we have a pathway as part of the execution of actually selling our current tax credit for 2025, we have a pathway that we've identified to also be able to place our credits for 2026.
Unidentified Analyst: Okay. And then can we expect a similar cadence for the RNG business?
Oluwagbemileke Agiri: That is exactly right. In fact, the deal construct, the transaction structure for our ethanol facility is very similar for RNG facility. So the rest of the tax credits that we are going to monetize for the rest of the year is for our ethanol and our RNG facility. And same thing for 2026 going forward.
Operator: Our next question comes from Amit Dayal with H.C. Wainwright.
Amit Dayal: Congrats on a really positive quarter. I think a lot of people are surprised with how the financials are showing up now. With respect to the CFPC, the 45Z credits guys, the $10 million benefit per quarter, is that sort of a base case? What kind of variance should we expect on that at least for the next few quarters as far as you have visibility?
Patrick R. Gruber: Leke, why don't you go ahead and answer that?
Oluwagbemileke Agiri: Sure. Short answer to your question is that over $10 million or that $10 million number is actually stressed. As you guys are probably familiar, the monetization of any production tax credit is tied to the actual production of the facility. We believe if no going concerns and which we don't have any going concerns, we could actually do better than $10 million of tax credit generation per quarter. So it's not -- I think in a slightly conservative view what we've disclosed, we actually think we do better than $10 million of credit generation every quarter. And that number is a combination of 45Z generation from our ethanol facility and our RNG facility.
Patrick R. Gruber: And then the last thing for you guys, all you analysts, do me a favor and make sure that you heard the point about this goes to a credit against cost of goods sold, not the revenue line. Don't be doing your modeling by showing these credits as revenue item. They're not. That's not how the accounting treatment works. It's a credit towards the cost of goods sold.
Amit Dayal: Understood. Yes. I got that. And then the path to $30 million in CDR sales, Pat, can you just share, is that going to be driven by just better capacity utilization for the sequestration business? Or are there other avenues that get you from the $3 million to $5 million this year and then towards the $30 million in the future?
Patrick R. Gruber: Yes, I'm going to let Paul answer this. And go ahead, Paul. Go ahead, answer.
Paul D. Bloom: Sure. So when we think about this going forward, we're just getting started, obviously, in the CDR market. And the bulk of our carbon capture and sequestration, the CCS value is going into low carbon fuel markets today. So we'll be shifting that as we see the market develop into the CDR sales. And then long term, right, as we get there, meaning the next 2 years or so, we're going to be trying to grow that as much as we can, but it's really about [indiscernible] on a journey to put our carbon value -- as much carbon value in our SAF really. And the whole thing is predicated by the high quality in this market. And that's where we think -- if you look at the overall market, we talked a little bit about how it's growing. It's grown to 40 million metric tons over $10 billion in sales. If you just do the quick math on that, that puts you at about $250 a metric ton for average carbon removal credits. But we know that there's a wide range of where that value is. So the way that you -- we believe that you go after this value is to have the highest quality credits, the highest quality information. That's really where PURO standards come in, and we're using the leading crediting platform for engineered carbon removals and putting those into the market, obviously. So that's kind of our path as we go forward here, shifting from more volatile low carbon fuel markets into something that we think can provide more returns and less volatility in CDRs.
Patrick R. Gruber: So the way to think of it is that we have -- we produce, what, 165,000 tons, 167,000 tons or something like that of carbon dioxide. The projections and discussion of revenue from CDRs is related to that. We have 1 million tons of capacity that's not contemplated in the numbers that Paul threw out.
Amit Dayal: Right, right. Understood. That was helpful. And then now that there's clarity on the 45Z credits, et cetera, and the regulatory environment is very favorable. Can we expect some maybe faster movement on the ATJ30 or ATJ60 projects? Any color on that, Patrick, would help, I guess, investors just get a sense of how that part of the business may shape up in the next 12 to 18 months?
Patrick R. Gruber: I'll say a comment first, and I'll hand it over to Chris. But it comes down to that this had been this last -- I don't know, the last 8 months or so have been really kind of uncertain. Everyone -- everybody is kind of, well, what's going to happen? It's all bad, everything is bad. Well, you know what, it hasn't been for us, obviously. We did pretty darn well. And I think that's good for the administration. They're supportive of the kind of thing that we're doing, but we're doing ATJ that's focused on being cost competitive with Petro, understand that point. There's nobody else like that, that I'm aware of, nobody. And yet, we can still eliminate the carbon footprint. The thing is we've got to finish the engineering for the ATJ30 and then get it financed. That will be the rate-limiting steps. The ATJ60 project, as we mentioned, we're going to work it through with the DOE. It's a big capital number. We still got to know what happens with the Summit pipeline. We've talked about that in the past. We're not going to build it before we have clarity. We're not going to try to finance it before until we have clarity around that, what happens in the pipeline because why would we ever build a plant that's economically disadvantaged going to be stupid. So we're not going to do that. Chris, do you want to add anything? -- talk about the...
Christopher M. Ryan: So yes, thanks, Pat. The good thing is we started with the ATJ60 design that we made for Lake Preston, and we took that and basically copied it, paste it into the North Dakota site. So right now, our engineers are working on editing that. So the good news is that goes a lot faster than if we didn't have that ATJ60 design. So the good thing is it is going faster. The reality is it takes time to do that editing and then actually build a plant of this size. It takes a few years. But yes, we're looking for every opportunity we can to speed things up and cut costs.
Operator: [Operator Instructions] Our next question comes from Peter Gastreich with Water Tower Research.
Peter Gastreich: Peter Gastreich here from Water Tower. So congratulations on your results and executing your strategy ahead of expectations. It's really great to see the impact of North Dakota and a very nice EBITDA figure coming through. Just a couple of questions from me. The first one is a question about North Dakota expansion options and next steps. I understand your project economics for ATJ were not designed to be dependent on 45Z. But I'd just like to get -- kind of ask whether the outcome of 45Z and the Big beautiful bill, whether that affects how you think about capital allocation in North Dakota and your options there, for example, expanding low- carbon ethanol capacity versus pursuing ATJ30 or other projects out there?
Patrick R. Gruber: Well, the obvious thing is that, that tax credit expires in 2029 or the end of 2029. And so for our ATJ plant to become operational in that time frame, it only have a very limited time to capture value from it. There may be opportunities from the Big beautiful bill for the accelerated depreciation credits and things like that, that we have -- we're still working through. So it could be that there's other benefits. But from the specific thing you're asking about with the 45Z section for ETJ, it's not -- it doesn't -- that's not going to matter, and that's always been our position. I think that on -- with ethanol, it definitely influences how we think about things. I mean we're going to want to take advantage of that as much as we can optimize it as much as we possibly can. So we've got a whole range of projects like that. Chris, do you want to comment further?
Christopher M. Ryan: Yes. I mean that site in North Dakota is a great site for doing a lot of projects and potential expansion because you got the CCS there, and we have 500 acres of land. And we've got plenty of eager farmers ready to supply more corn. So you put all that together, and we -- there are opportunities that we're looking at that but they're shorter-term opportunities that could take advantage of the 45Z. So it's too early to really talk about those, but we're looking at all potential opportunities.
Patrick R. Gruber: We got that, like I mentioned, the 1 million tons of capacity down there per year. We got to use it and take advantage of it and figure it out. So we'll be all over this. And I think that as far as the jet fuel goes, on the big beautiful bill, I surely would have liked to have seen jet fuel extended beyond 2029, that would have been more helpful. I'm not -- actually, I'm glad that it got 2 years rather than none. That's helpful for us as a business for sure. And we're a company who's reinvesting that money in expansion of biofuel opportunities here in the U.S., doing advanced biofuel opportunities, moving into hydrocarbons, setting up infrastructure for CO2. Remember, CO2 is going to be needed in North Dakota for enhanced oil recovery within a few years. So we need infrastructure for CO2. So great, we're a part of that game, and it's going to be pretty darn interesting going forward. It's a great site. We got -- we did a good job. Our team did a good job and the people of our Gevo North Dakota team have done a great job. It's been fun to watch, I got to say.
Peter Gastreich: Okay. Sorry, just next question, one more question, please, about Verity. So including the new soybean tracking partnership that you just mentioned from last month, how many customers do you now have for Verity? And also just if you're able to share any broad color on your recent discussions with prospects there. What are your prospects of seeing some more announcements this year on Verity customers?
Patrick R. Gruber: Paul, why don't you take that question?
Paul D. Bloom: Sure. We're really excited about the Verity growth here, and it's great to have the tool working out with a customer like LANXESS. Right now, we've got a handful of ethanol plants, 5 ethanol customers today that we've got agreements with on Verity. We think this is going to grow sizably because what Verity is really doing is simplifying that carbon accounting system that you need for tax credits, for voluntary carbon credits. So we think it's got a nice growth portfolio or perspective going forward. But what we're going to be doing next is really making sure that we can demonstrate everything that Verity does at our Gevo, North Dakota site. So this will be really helpful for us. As you can see, we've got a lot of complexity in the business moving between voluntary credits, compliance credits, tax credits. And so nothing better than to use Verity to demonstrate how we can simplify our lives, which is what Verity really does for the customer. So really excited about the growth potential and making it all real in North Dakota for us.
Patrick R. Gruber: I want to add something on this tax credit game of getting this stuff verified, like I said, we're not aware of anyone doing a 45Z like we've done, and it's wrapped with an insurance product. The amount of work that, that took was quite impressive, and it's a skill. Now we have it, we're going to use it. And then there's the question of -- on the CDRs. CDRs, I'm going to reiterate this. CDRs are -- think of them as voluntary credits, the actual carbon removal credits that people will buy. This is a market that's already been growing. These are legit. We have like the gold standard type credits, CO2 going down a hole measured by a meter. We can measure tons going down a hole. That's a big deal. That's why we can get the PURO certification for [indiscernible]. We're the only ones in the country first ever to get that kind of certification. That sort of thing should matter. It's legit removal of carbon and people are willing to pay for it on a voluntary basis. That's the kind of co-product we want to see in the future and grow it. And Paul's team is all over this. It's a big deal. And...
Operator: Our next question comes from Dirk Whitfield with Texas Capital.
Derrick Whitfield: Congrats as well on a strong quarter and update. With respect to the CDR market, thanks for the detail included in the release. I wanted to see if you could maybe help characterize the depth and durability of the market? And separately, could you speak to the contract structure and if these were sold to a single counterparty or multiple?
Patrick R. Gruber: The answer -- yes. So go ahead, Paul, go ahead and address it where you can because I know you'll be restricted a little bit on the details of the contracts, but the rest of it, go for it.
Paul D. Bloom: Yes. Look, I mean, this is a new and developing market. So we're learning this and getting into it, and we're pretty excited that we've already made a lot of progress here. And so as you think about these markets, we're finding out that there are some that are traditional kind of more spot sales. And then there are multiyear type agreements, and this is where we're headed with a lot of the new business that we're planning to put on where customers, once they find out what high quality that you've got and the high integrity credits that you're providing, there's a lot of work that goes into that and a lot of diligence. So finding a high-quality credit supplier to make sure that they bought down the risk and they can really show what they're doing for their products it's a big deal, and we can do that. And so this is where we're headed with more longer-term contracts. But I would say the spot market for the CDRs is getting interesting. If you go back and remember the numbers that I said with 40 million metric tons of credits that have been sold so far in the CDR market, only about a little over 2% of that has actually been delivered. So the thing that we're watching closely is that as other projects may have been sold out, they may be projects that aren't really working today. They haven't started to deliver. Now a lot of these projects probably will start to deliver, but we're already delivering. So we think that there's going to be an interesting spot market developing, and we're here to be able to supply those credits as needed.
Derrick Whitfield: Great. For my follow-up, I wanted to focus on Gevo, North Dakota. With the optionality your team has with ethanol sales, I wanted to ask if you could speak to how you're thinking about marketing and optimizing revenue from the low-carbon ethanol between the voluntary market in California, Oregon and Canada.
Patrick R. Gruber: That's a great question. What I think you should do guys is have a tag team between Chris and Paul.
Christopher M. Ryan: Yes. Actually, Pat, I think, Paul, this is a great question stemming from the last one. So go ahead, Paul.
Paul D. Bloom: Yes. Thanks, Chris. So as we sell a lot of our CCS value today in the low carbon fuel markets, you have to have a pathway. So we are in the progress of making -- putting in pathways. We've already got pathways that include CCS and don't include CCS, we have optionality. So we put that into that low carbon fuel market? Or do we separate that CCS value and put it in the CDR market. That's really the optionality that we're talking about. So as we look at these markets, we have some timing that we have to balance. But as we see carbon prices -- carbon credit prices increase in certain low carbon fuel markets, we want to be able to take advantage of those. And so we work with our marketing partner to do that, to go after those so we can deliver the returns both on the fuel, but then also start to put a book on for those -- that CDR value that's separated. And as we look at that price, we're looking at what's going to give us the best return between the netback of including that CCS value in the fuel or stripping that off and selling it into the CDR market. So it's a little bit of balancing act. But today, it's more heavily focused on the LCF markets and low carbon fuel markets. And as we build those sales of CDRs, we plan to put on a healthy mix or maybe even put on more CDRs if we can get lower volatility with higher returns in that market. It's just a lot of optionality. We'll see how it develops.
Derrick Whitfield: Great. And maybe one last, if I could. With respect to your CCS site, could you speak to the market opportunity you guys see to accommodate third-party volumes and the amount of capacity you feel comfortable offering up to the market?
Patrick R. Gruber: Yes, we can comment on it. Who wants to take that one? Chris or Paul?
Christopher M. Ryan: Paul, you can go ahead. Let me just add that when we talk about the capacity about 1 million tons per year up there, we're talking about 1 well, and there's no limit on -- we're not limited to 1 well, let's put it that way. But Paul, go ahead.
Paul D. Bloom: Yes. Sure. So this is an interesting one because we're also thinking about, hey, what do we do in the future? How do we see us expanding. The more ethanol we produce, the more CO2 we would produce. So as you're permitting ethanol, you make a pound of ethanol, you make a pound of CO2. That's kind of -- it's a 1:1 kind of ratio there. And so we want to make sure we've got plenty for us. And then as we look at projects, can we bring in CO2 from third parties? Sure. I mean we've talked about things like a virtual pipeline using CO2 by rail. And we've talked about are there other opportunities to put partner sites on our -- right where we sit and sequester CO2. As we see the need for more clean power for things like data centers and other growth opportunities. We think we've got a great site. And so it's really a question of which of those projects are going to give us the best returns while making sure that we've got plenty of available capacity for our own needs.
Patrick R. Gruber: Yes. And so one of the things I like about Gevo, North Dakota is we have a huge amount of land that we own and it's 500-plus acres. It's a great operation. There's great corn resource up in that area. The good workforce, good farmer community. These people are good. it's the business environment in North Dakota, the energy people and agricultural people are the same people, and they all get it and they get that this is all intwined and it's important. They're an energy-producing state and they're a food producing state and for export out of North Dakota. It's a great place to be. It's a really attractive site. I wish we had had it sooner I'm really glad that we have it now. And for us, this marketplace that Paul's team is establishing of the CDRs, courts and the rest, that's really, really important because that's selling co-products is a key part of the economic equation. And it's really -- it's going to matter in the long run as we -- you don't want to -- because if we look a way out to the future, you do not want to be dependent upon government for anything on credits because it can be -- you can go with the whims. You don't want that. You want to establish the legit marketplace. Well, we've got legitimate stuff. Verity comes into play here and is a big deal for helping to certify the whole value chain and the sourcing of the raw materials and all the rest. So we have a leg up on other folks, we believe. And the site that we have is an unusual site. We're the only ones there. It's ours in our whole. And that makes the diligence way, way easier. And for as intense as it was, boy, I'm glad it wasn't any more complicated than that. So we think that we have an advantage here, a window and a premium product of carbon abatement to offer. And it's going to be very interesting to see how my team goes and exploits that. It's a different way of thinking about things, and it's going to be fun. And I think as far as the ATJ30 goes, and this is a question that Amit had asked but related about where to go get done. Yes, we're going to go as fast as we can. We got to get our act together, too. And this is about getting engineering done. Chris mentioned it, we'll get it done for ATJ30. It will be a much lower capital cost. It should be a bite-sized capital cost. And so how much of a bite-sized capital cost can that be? I think it can be really bite-sized. [indiscernible] bite-size enough for Gevo alone? That I don't know yet. And that's pretty interesting. And -- so it's a different game to play up there. And it doesn't take anything away from the ATJ60 plant in Lake Preston. That one still has got to run its course and figure out the rest of the detail of what's going on between the DOE and customers and Summit. But I like where we're at. And here's something really, really, really important for people to understand. We've got a huge suite of technology. Paul mentioned this, huge. This is not simply just go buy an ATJ process off the shelf laying, lots of people have unit operations. Doing it on an integrated basis, you've got to know how to operate plants. That's what my team brings. We know to build plants. We know how to operate plants. We're the first, remember, to do ATJ. First, we're the ones who got it certified and got it qualified. We still sell it in the marketplace. People forget that. We're still active in it. small scale, but demo plant scale. But this goes back to what we are all about here at Gevo. That is kind of chemistries. We have a long history with it. It is going to play out into the future with our alcohol with our ETO process. We think we can do cost savings out to the future. It's a pretty exciting time. This engineering and knowledge that we have learned from the ATJ60 is being translated to ATP30, and it's going to be -- create a winner, we believe. It also is creating a platform that we could cut and paste other places. That's a pretty exciting model, and we're looking forward to getting on with it. Sorry for that little bit of a soap box, but hey.
Operator: I'm showing no further questions at this time. I would now like to turn it back to Pat Gruber for closing remarks.
Patrick R. Gruber: Well, I already was on my soapbox. You heard the main points. It is an outstanding quarter. It did happen faster than we expected. We thought this would happen. We're an unusual company in that we're a developer with a huge amount of technology, but we actually are incrementally positive in profitability, albeit a little tiny bit at $0.01 per share, but that's positive. And our EBITDA, we expect it to grow further on reproducible EBITDA. So it's good. It's going to be really good. We're -- we've got a great foundation we're building, and it gives us the latitude to play the optionality that's in front of us. Thank you all for joining us. Appreciate it.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.